Operator: Greetings, and welcome to the Atkore International Third Quarter 2017 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 I would now like to turn the conference over to your host, Keith Whisenand, Vice President, Investor Relations for Atkore International. Thank you. You may begin. 
Keith Whisenand: Thank you, and good morning, everyone. With me today to discuss our third quarter results are John Williamson, President and CEO; and Jim Mallak, Chief Financial Officer. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or future financial performance of the company. Please refer to our 10-Q for the third quarter and today's press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Finally, when we refer to the information relating to a quarter or a year during this call, we are referring to the corresponding fiscal period. Any reference to a year is a full fiscal year, which runs October through September.
 With that, I'll turn it over to John. 
John Williamson: Thanks, Keith, and good morning, everyone. As shown on Slide 3, Atkore's third quarter performance was in line with our guidance and expectations. We delivered adjusted EBITDA of $62 million in the quarter, on the high side of our guidance range of between $55 million and $65 million. And we delivered fully diluted adjusted EPS of $0.44, in line with The Street consensus.
 During Q3, we continued to experience softness in nonresidential construction activity and softness in specific OEM verticals like agriculture, data centers and solar builds when compared to the prior year, resulting in lower volume in both of our segments. In addition, in products made of steel, we saw a tough year -- tough year-over-year comparison due to inventory builds in our channel last year in the face of significant upward commodity cost pressures. Outside of the products most impacted by steel, we saw a low single-digit growth in volume during Q3.
 Our net sales were up 1% year-over-year, with increases in average prices more than offsetting the soft volume. On a year-to-date basis, we have been successful in passing through the dollar value of commodity increases hitting our P&L. However, as many industrial companies have reported, we also experienced a challenging pricing environment most likely caused by lower-than-expected volumes in Q3. And our pricing and product mix did not fully offset higher raw material costs experienced in the quarter. This challenging environment was a general theme across our Mechanical Products & Solutions segment and also impacted our copper products and Electrical Raceway. We expect the commodity passthrough to strengthen as the volume environment improves.
 I'm pleased to report that we successfully completed 2 M&A transactions in the quarter, Marco Cable systems, a raceway-focused business in the U.K., and as mentioned on our prior earnings call, Cobra Systems, a small asset purchase related to our razor wire product line, which strengthens our U.S. manufacturing capability. Both transactions targeted product lines with above-average margins at attractive multiples. There was minimal impact in the quarter to our P&L, but in total, we expect about $3 million per year in presynergy EBITDA.
 We continue to maintain an active pipeline of M&A targets, 3 to 4, with the potential to be closed in the next 6 months, and 1 or 2, with the potential to be closed during the calendar year 2017. With our disciplined M&A process, these transactions will only occur if they meet criteria aligned with our strategic objectives, deliver accretive margins, meet out leverage ratio guidelines, and we have the bandwidth to successfully execute. We continue to target and expect to spend $100 million to $150 million in purchase price per year for acquisitions.
 Atkore's productivity initiatives, including conversion costs, material usage and transactional process improvements, also favorably contributed to the bottom line by several million dollars in Q3, although they did not fully offset the shortfall in pricing in the quarter. In total, we're on track to deliver our target of $12 million to $15 million of productivity for 2017.
 Leading indicators for the nonresidential markets we serve, including Dodge and the Architectural Billing Index data as well as input from our channel partners, previously indicated fast-paced strengthening nonresidential construction markets from mid to end of our fiscal year. However, we haven't seen that confidence translate into tangible activity yet. More recent and updated external data and inputs from our channel partners show the less robust market volume experienced in Q3 will continue through Q4. As a result, we are updating our full year guidance range for adjusted EBITDA and adjusted EPS.
 Slide 4 highlights the key market drivers for Atkore and the respective impact to our business. U.S. nonresidential construction influences 60% of Atkore's net sales. As you can see in the top left graph, the May forecast from Dodge Data & Analytics is now forecasting low single-digit contraction in our fiscal 2017 for nonresidential starts in square feet. That projection aligns with our Electrical Raceway forecast, excluding the impact of the 53rd week in 2016.
 Over the last 6 months, there has been a material disconnect between forward market indicators and market sentiment to the real activity. We believe our more current projections remove the inherent optimism that existed in the market. Moving forward, we will continue to add significant value to this business through self-help and accretive acquisitions to outperform the market.
 Taking into consideration these broader drivers of our business, we've adjusted our full year guidance range on Slide 8 for adjusted EBITDA to between $220 million and $228 million, and adjusted EPS to between $1.37 and $1.45. Within this full year forecast, in 2017, we have absorbed one less working week compared to 2016, which is worth approximately $5 million in EBITDA, or 2% in volume in total, and an unfavorable solar comparison worth approximately $13 million of EBITDA, or 6% in volume, to our MP&S result.
 With that, I'll turn the call over to Jim, who will walk us through our financials in more detail and provide additional insights into the quarter. 
James Mallak: Thanks, John, and good morning to everyone. Moving back to our consolidated third quarter results on Slide 3. Total net sales were $398 million, up about 1% year-over-year on a reported basis and about flat when excluding the Marco Cable acquisition. The impact of increasing average selling prices that pass through material cost inflation favorably impacted net sales by 6% year-over-year. Net volume unfavorably impacted sales by 5%. This decline in volume was primarily due to the soft markets John mentioned and the impact of the unfavorable solar comparison in the prior year results.
 Looking at the external metrics for our key input costs in the quarter, steel was up 11% year-over-year versus the third quarter of 2016 and down 1% sequentially versus the second quarter of 2017. Copper was up 20% versus the third quarter of 2016 and down 2% sequentially versus the second quarter of 2017. And PVC resin was up 2% versus the third quarter of 2016 and up 7% sequentially versus the second quarter of 2017. Through the third quarter, we have incurred material input cost increases of almost $80 million and have been successful passing those through to the market in total dollars. And as we do so, net sales and cost of goods sold increased in equal amounts, unfavorably impacting the resulting margin percentages. At the adjusted EBITDA margin line, that mathematical impact accounts as 100 of the 140 basis points decline in the third quarter. The remaining 140 basis points (sic) [ 40 basis points ] was due to the unfavorable price, cost, mix, partially offset by productivity and cost management.
 Gross profit was $93 million for the third quarter, down 17%, or $19 million, compared to the same period in 2016. Beyond the volume reduction, the decline in gross profit was primarily due to the unfavorable impact from the noncash, lower-of-cost-or-market adjustment to inventory of almost $8 million and year-over-year timing of material cost pass-throughs in the quarter. We were a bit ahead of the game on pricing versus cost through the end of the second quarter and now have leveled out on a year-to-date basis. These declines are partially offset by productivity savings in manufacturing, freight and warehousing costs.
 Adjusted EBITDA, which we think is a better measure of the profitability of our ongoing business, was $62 million or down $5 million versus last year. The year-over-year unfavorable solar impact was approximately half of that decline, the rest coming from unfavorable price versus cost, partially offset by productivity savings and cost management.
 Our net income on a GAAP basis was $27.5 million, up $7 million versus the third quarter of 2016, and adjusted net income was $30 million, up $3 million versus the third quarter of 2016. Adjusted EPS was $0.44 compared to $0.43 in the prior year. 
 On Slide 5, you will see that net sales for our Electrical Raceway segment increased about 3% to $266 million. Higher average selling prices, driven by passing through material cost changes to customers and higher value products had a favorable impact to revenue of 6%. The comparably soft steel conduit market was the driver of a 3% volume decline year-over-year. Our other electrical raceway product lines, including PVC conduit and armored cable, were up slightly in volume. Adjusted EBITDA was $48 million, down $4 million, or 8%, as compared to last year. The decline was primarily driven by volume, but year-over-year timing of material cost pass-through, less productivity also contributed. Adjusted EBITDA margin declined by 220 basis points, of which 110 basis points were driven by the dollar for dollar pass-through of raw material inflation. The remaining 110 basis points was due to unfavorable price, cost and mix, partially offset by productivity.
 Moving on to our Mechanical Products & Solutions segment on Slide 6. Reported net sales in the quarter was down 3.5% at $132 million, with the Marco Cable acquisition adding $1.5 million to that result. Total volume declined by 9%, 4% of that coming from the decline in our mechanical pipe products caused by the unfavorable solar comparison, but was also impacted by a soft agriculture end market, data center timing in our construction business and other steel products. Higher average selling prices favorably impacted sales by 6% and were offset partially by foreign currency and lower freight billing of 1%. Adjusted EBITDA of $19 million declined by 17% as compared to the same period last year, but was up $2 million versus the second quarter. Adjusted EBITDA margin declined by 250 basis points, of which 100 basis points are driven by the dollar for dollar pass-through of raw material inflation. The remaining 150 basis points was due to unfavorable price, cost and mix, partially offset by productivity.
 Turning to our balance sheet and cash flow on Slide 7. Cash and cash equivalents at the end of the quarter was $96 million. Year to date, CapEx totaled $15 million, net, cash flow from operating activities was $66 million and net debt decreased to $396 million. Our leverage, which we define as net debt to the trailing 12 months adjusted EBITDA, was 1.7x. This is a strong balance sheet, with significant liquidity to fund our strategy of accretive M&A.
 Moving to our 2017 guidance on Slide 8. We expect the construction markets will exit the year at a similar cadence to our third quarter, and the full year will be down in the low single digits. We expect to see marginal improvements on our industrial market versus the third quarter to finish the year. Those inputs drive our full year outlook on Slide 8.
 For the Electrical Raceway segment, we expect volume to be down about 4%, considering the latest nonresidential construction market indicators and losing one working week, or 2%, versus 2016, and adjusted EBITDA to be in the range of $177 million to $182 million.
 For our MP&S segment, we expect volume to be down about 9% reported or about 1% after normalizing for the 6% decline coming from the solar and 2% due to one less working week in 2017 and adjusted EBITDA to be between $70 million and $76 million. In total, we expect adjusted EBITDA in the range of $220 million to $228 million and our adjusted EPS range to be between $1.37 and $1.45. We expect CapEx to be about $25 million for the year.
 Now I'll turn the call back to John for final comments and perspective. 
John Williamson: Thanks, Jim. Turning to Slide 9. In summary, I'm pleased that Atkore delivered Q3 results in line with our earlier guidance despite slower-than-expected market activity. We completed 2 acquisitions in the quarter, maintained overall ability to pass through increased commodity cost pricing year to date and realized savings from productivity initiatives. As I previously mentioned, external market indicators have shifted and now point to a softer market through the end of 2017. With a little more than half of the fourth quarter remaining, we continue to see similar levels of market activity as in previous quarters. Coupled with these factors are several internal improvements at Atkore, including strengthen our core capabilities around safety, quality, delivery and service, driving productivity and removing cost, developing innovative products and solutions to meet customers' changing needs and aggressively pursuing M&A opportunities that are synergistic with our strategy. We continue to drive a systematic approach to managing our business with the Atkore business system, which focuses on our people, strategy and processes. It's this type of diligence that has contributed towards our continued strong balance sheet and cash flow profile. We are focused on ending 2017 strong, building momentum headed into 2018 and positioning the company for long-term success. I want to specifically thank our employees, who day in and day out take care of our customers and drive a long-term value for our shareholders. Thank you for your commitment to Atkore.
 Melissa, please open the line up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Andrew Kaplowitz with Citigroup. 
Seth Girsky: This is Seth Girsky, on for Andy. So volume growth was a little bit lighter than you guys had expected and you talked about seeing this pace continue. So can you talk about what is worse than you expected last quarter? So what is driving the weakness and how long you expect that to continue? 
John Williamson: Yes. I think compared to our outlook a quarter ago and earlier in the year, we expect -- keep in mind, our business is very much tied to the U.S. So we'll act a little bit different than people out there who have a broader reach geographically. And we're pretty strongly tied to nonres construction. So it's fundamentally -- we thought that there was going to be more infrastructure activity through nonres construction and that would directly affect our Electrical Raceway business and parts of our Mechanical Products & Solutions. So that's probably the biggest thing. Nonres construction starts, I think, in our slides that we talked about projection of that being down 2%. But recent Dodge Analytics is projecting that, that might be as bad as about 6% contraction. So when you see that in nonres construction, that's going to have a pretty strong impact on us. So I think that's probably the biggest piece. 
Seth Girsky: Got it. That makes a lot of sense. And then moving over to price/cost, you talked about price/cost, productivity and cost management all creating a 40 basis point headwind. But it sounds like price/cost is really the headwind and productivity and cost management are offsetting that. So can you dig into the pieces of that bucket a little more? What's the impact of price/cost in the quarter? And what -- how much is productivity and cost management helping you in the quarter to offset that? 
John Williamson: I think the net on that was the 40 basis points. And I think you got it right conceptually. Freight is up in that over time. We've done a very good job of just being a lot more efficient. Even in the face of rising diesel costs and rising trucker costs, we're productive there. And we're productive in the elements of labor productivity, material usage, et cetera. I think if you kind of netted it though, the price/cost dynamic is about -- was about $8 million unfavorable in the quarter being offset with net productivity of about $4 million. 
Operator: Our next question comes from the line of Julian Mitchell with Crédit Suisse. 
Julian Mitchell: I just wondered on the net productivity side, given the issues that you're having with volumes, price, cost and materials and so on. If you've thought about a major step-up in the productivity savings effort as you start to think about fiscal '18, I think it's unlikely that the top line environment is that different next year. 
John Williamson: Yes, the answer, the quick answer is yes. And we think about it all the time. As you know, it's always a -- it's a balance between investing in capability building and productivity. What I would say over the last 5, 6 years at Atkore, we spent a lot of effort and money in building capability. And we think it shows in our results. But a theme here at Atkore is what we'll call capability with productivity, where, after we've made these investments at a certain time, and now is certainly the time, that we start to see the productivity of that mature capability. So I think without quoting a number or really trying to infer any kind of inflection point, I think productivity remains a very big part of our game plan. 
Julian Mitchell: I see. So we could expect that to be a bigger tailwind in '18 than in '17. 
John Williamson: What I would also say is, keep in mind that one of the criteria for doing M&A is bandwidth. And we think one of the -- and we think we do have that capability, inherent bandwidth opportunities. We have a good team who can do a lot. And as we start applying that bandwidth to M&A, I think you'll see a lot of productivity coming out of our integration of M&A targets. So it might not be directly productivity, it might not be just taking cost out, but it might be taking that excess capability and applying it against M&A and driving that as synergy -- productivity by way of synergy on an acquisition. 
Julian Mitchell: I see. So versus that sort of low teens millions of productivity number for this year, we should expect that to be at least the same amount incrementally in 2018. 
John Williamson: Yes. 
James Mallak: Yes. I think for the next couple of years, with our Lean Daily Management in our pipeline, we can expect the $10 million to $15 million in productivity for the next couple of years. 
Julian Mitchell: And then my last question just on the free cash flow. In the 9 months period, that's down, I think, about 25% to 30% year-on-year. Just wondered how you're thinking about free cash flow for the year as a whole and if we could expect that free cash flow to rebound quickly in '18. 
James Mallak: We have had some working capital with the higher commodity prices that has gone up some. When we take a look at our working capital metrics, we are comfortable that we're in the range and most of it's come from working capital inflation and not from actual volume build. So we will continue to do that. Don't forget that we do have over $20 million that was spent on acquisitions so far this year. But we will continue to drive, I think, a fairly high percentage of our EBITDA for our cash flow in the '18. 
Operator: Our next question comes from the line of Deane Dray with RBC Capital Markets. 
Deane Dray: John, maybe we can start with your comment that you're seeing a disconnect, and this is probably not the first quarter. I think we got some of this in last quarter as well. But the disconnect between the key indicators like Dodge and ABI versus, I guess, what we would call real-time feedback from the channel and the kind of front log that you're building. But just give some color there on that disconnect, maybe how you're going to change some of your forecasting inputs going forward. 
John Williamson: When we start macro to micro, the macro is what we see in Dodge. And I think everyone understands that, that's changing -- changes a lot and has been changing to the negative over the last few quarters. We talk about Architectural Billing Index. We talk about what we see through industry associations, such as NEMA and the very specific and quality work they do. And what we would say is, we actually feel pretty good if you start thinking about the next 8 quarters or an 8-quarter period soon to start. It is kind of way we're talking about it internally. There's a lot of good fundamentals on a macro that says, we're going to have a number, a couple years of very good business, activity driven, around nonres construction in the U.S. Our channel is confident. The -- we talk to contractors. We talk to distributors. We talk to agents, and everybody is very confident. But it just hasn't gained traction yet. And I think that's the biggest disconnect, and that's the disconnect we're talking about it. And we talk about having purged the inherent optimism from our fourth quarter. And I think that's an appropriate way to say, is that we're taking a little bit more of a show-me, we're taking a little bit more of a we need to see it and we need to see it translating into our sales before we're going to get -- be too aggressive on our growth. Having said that, we spent a lot of time on our market share. Earlier in the year, we think we lost a little bit of market share as we held pricing in a couple of our segments. But we feel over the last 2 quarters, we've been doing a very good job of maintaining market share across our business. That will ebb and flow a little bit by quarter, but generally, we've spent a lot of time trying to understand that. And we feel confident we're maintaining our market share. So we think the volume issues are a market-driven issue. We feel we're passing through commodity costs in a given month or in a given quarter that may not happen given just the timing around that or even competitiveness around volume in a given segment. But overall, through the year, we have passed that through, which is, I think, a big victory in this volume environment. So as far as how we change what we do, I think, keep in mind, everything that we forecasted, we absolutely believe that it's going to happen. We felt we had the math for it. Our business, we have a number of -- we have 13 general managers. We have presidents of businesses. They work hard on this. They were making forecasts, and we believed it. And all along we believed it. But I think that there is a lack of a catalyst in our economy right now that we haven't put our finger on. But that we have to wait and see that really taking shape before we can get these mid-single digit growth rates. I will say just as a summary on this subject that a little bit of volume goes a long way in our industry, in our business. So if we get into that mid-single -- in the 3%-ish range in the next coming 8 quarters or so, we feel we're in really good shape on our ability to pass through commodity changes and also to make all the hard work pay off on the P&L. So biggest thing is we have to see it before we really are going to project it and forecast it to our investors. 
Deane Dray: Thanks for that color, John. Is there -- we're at the doorstep of fiscal 2018. Do we interpret those comments regarding some tempering of the outlook? Would your expectation be something below that 3% range for 2018? Probably not prepared to give specific guidance, but maybe some color there would be helpful. 
John Williamson: Yes. And we'll definitely update the investor base when we give our fourth quarter results. But I think we really absolutely feel we think the math supports an 8-quarter expansion in our served markets. We -- the question becomes whether that 8-quarter starts tomorrow or it starts sometime in calendar '18? And how much of our fiscal '18 really corresponds to that uptick? So that's going to be the challenge for the business over the next 90 days to make sure we can highlight that and articulate that well to the investors set. 
Deane Dray: Okay. Then just last question for me going back granular into some of the end markets that you called out. You've given lots of good color regarding the challenges in solar, and I think that's been well vetted. Did you call down ag? And then some delays in the data center market. So maybe if you can flush those 2 out, please. 
John Williamson: Yes, ag hits us in a number of ways. Ag just being a strong vertical, quite frankly, has a lot of electrical content. And just like any vertical, the drivers of agriculture are weaker right now. And so they're just less electrical. But also, ag hits us very specifically in our mechanical piping business, which is a major piece of our Mechanical Products & Solutions business. Whether this is just hard infrastructure for livestock, whether that's, I think, a bit of stalls for dairy stalls or just the, basically, some of the steel that goes into agricultural equipment, it can hit us pretty hard in a number of spots or be very good in a number of spots. So agricultural income is down, lot of that based on the cost of their commodities. That triggered -- that rippled through our Electrical Raceway, in general, and specifically hits us in our structural steel, our Mechanical Products & Solutions business. So that's going to hit us. And then on data centers, something -- data centers are a vertical we serve well a number of ways. Certainly, Electrical Raceway, but specifically, in our Unistrut Construction business as part of Mechanical Products & Solutions, we have a nice tie in there, nice expertise, great relationships with meaningful customers. And what we're seeing is, we're seeing a little bit of project delays and project pushouts in data centers. A little bit hard for us to put our finger on what's driving that. Availability of labor has been cited in some instances, but I don't think we're ready to say that, that's the driver. But just specific pushouts of contracts we have in hand have been something we've seen in data centers. 
Operator: Our next question comes from the line of John Inch with Deutsche Bank. 
John Inch: What did you think your volumes were going to be in the third quarter? They were down 5%. What did you anticipate they were going to be, say, at the end of second quarter? 
John Williamson: For the third quarter and the fourth quarter, John? 
John Inch: Well, yes, I'm curious, because, I mean, at the end of -- on the last call, you basically said you're encouraged by channel partners and your own leading indicators like PVC conduit, and you called out a strong second half. So your volumes were down 5%. I'm trying to understand what's the swinging factor. Strong second half to me it sounds like up 5%, not down 5%. I'm just trying to understand the language and sort of parsing that with the actuals versus the anticipated. 
John Williamson: Yes. So it's absolutely the essential question. We were expecting somewhere in the range of 3% for the second half of the year after the second quarter. And we saw -- we actually saw contraction. And I think that's a big swing as you saw. And really, we could always look back and say, boy, we wish we've been a little more cynical. We absolutely believed the numbers. We absolutely -- there's a lot of work that goes into what we project forward. But I think the main driver was a lack of traction in nonres construction. Even in the second quarter, it had happened in the past and then lagged forward to -- it's effect on our business. So think about it as we thought it was going to be around 3% for the second half, and data was flat to down. 
John Inch: Okay. And then your implied volume for the fourth quarter, is what? Roughly like the down 5%, again, roughly? 
John Williamson: No, it's going -- from year-over-year, it's slightly up, and from third quarter, it's basically flat. 
John Inch: Okay. Okay. So roughly flat sequentially. Here's why I'm going with this. It's -- you're sort of talking about the little bit of mixed messaging. You're talking about solid macro fundamentals. And then you're sort of talking about some of these other mixed issues in these end markets. Nonresi construction, I mean, this thing is sort of -- I guess, I'm not clear, why do you think ex these indices, but don't seem to be fully connected with what you're seeing, right? Why do you think we're in for a 2-year run for the upside? Because, I don't know, don't these things, when they start to go down, they kind of roll in kind of a sequence. And again, I'm just playing devil's advocate, we've got retail, which is on it, you know what, driven by online. I'm just curious, do you think maybe some of this could be simply delays of infrastructure spending? Because some people are waiting for the Feds to come up with a plan. I don't know, I just can't understand why there's this disconnect and why you would think there's actually this 8-quarter run that's about to happen at some point. 
John Williamson: Yes, I think your consternation and your questions are at the essence of our more cautious approach to what the fourth quarter is going to be is, if Architectural Billing Index, nonres construction put in place, spin, these are generally things that when you're looking at the macro and you do the lag, the 6- to 9-month lag to how it affects our business, we should be seeing a decent pickup. And we compile as much data as we can, keep in mind. We tie much closer to the electrical component of nonres construction than just nonres construction in general. So we look at the individual pieces. And we truly believe if you map this out and we do map it out at the high level that, that we're seeing something in that 2% to perhaps 4%,  as much as 4%, over a couple year period. Absolutely, you can get disparate views on this. I think what we're saying, though, John, is that when we start to see that hit the markets we serve in the shorter term that we're going to be a little bit more pessimistic on that. And I think what that triggers with our business is, a, a discourse with the investors set that's probably more conservative; b, to Julian's comments, a harder discussion on productivity and investment. And so all of that is part and parcel with us being a little bit more conservative on the go-forward. So we actually -- we believe that there is going to be still a couple good years of construction that will get our share of that. And before the cycle starts to maybe take a little bit more of a correction, there's still a lot of activity out there. There's -- I don't need to cite the litany, but whether it's the macros or the cranes on the -- in the urban centers or there's a lot of construction activity, I drove past 10 construction sites this morning, that have not been started to put Electrical Raceway in yet. And we're going to get 1/3 of that business. So I think that... 
John Inch: I think your sincerity is coming through. I think you sincerely expect the things to be better. So I'm just trying to understand the disconnect because it is curious. The one thing that maybe raises eyebrows is you're calling out pricing. And it's kind of a negative thematic for this quarter. But I'm not sure it's the same dynamics that are affecting you. If you're a distributor, it's because of Amazon and online price base transparency. If it's other things, it's because of rising competitiveness for whatever reason. It sounds like you're a little bit surprised of the price resistance in the channel. Now I think your comments are fine, right, when volumes come back, we'll have a lot more -- things will flow a little bit more freely. But do you think that suggests that maybe the competitive dynamic in this market has perhaps shifted for whatever reason we can sort of think about or opine about that makes the environment a lot tougher when there isn't volume? I mean, I'm just trying to pick up on kind of what you said. Is this a onetime event? Or do you think this has actually got some staying power in terms of the new reality when stuff gets tougher? 
John Williamson: Yes. No, I think we've been very consistent on this. And I think all the transcripts bear this out that volume has a big impact on -- what we believe about pricing is that, over time, all the changes in commodity gets passed through to the customer and that anybody who makes products that are made of commodities is still in business, and we have and all our competitors have been around for decades and doing well. It gets passed through. But in a given period, and that could even be as much as a year, but certainly a quarter and certainly a month, based on the timing, based on the competitiveness around volume for that period, you might not pass it through or you might pass more of it through. I think we've been really, really very consistent on that. Year to date, we've passed through the $80 million increase in commodity costs to our customers, so have all the competitors in the market. Right now, I think part of -- exactly the first part of your question around volume, when volume is less than expected, it's very natural that people start to compete a little bit more on price. And I'm not even talking about someone trying to make a share grab over time with price, which happens once in a while. So I don't think anything's changed. I think it's -- I think the third quarter headwind on passing through commodities is directly related to volume being less than everyone expected. I think it's just directly related. We do feel right now that we think that it's moving the other way that we're getting a little more traction on moving price through. So I don't think there is a shift here. I think it's the dynamics that have always been there and that we've always talked about. 
John Inch: Just last for me, and I'm sorry to go on so long. The tax rate, Jim, I think, for the fourth quarter, if you look at your annual guide for tax, I think that you're implying kind of 35%, 36%, if we ran that correctly. And a year ago, the fourth quarter had a 20% tax rate. Your tax rate is sort of all over the map. Why? Is that the right number we should be using? And why would there be such a big discrepancy year-over-year? You probably talked about it. I just don't remember. 
James Mallak: We should be looking at about 34% for the -- our fourth quarter. That rate really gets impacted by the new GAAP accounting on noncash compensation as options and everything are exercised. So that makes that tax rate jump around quite a bit. That's the main variable in there. 
Operator: [Operator Instructions] Our next question comes from the line of Rich Kwas with Wells Fargo. 
Richard Kwas: I want to follow up. So on the lead time, lag time with regard to starts, John, it's still -- it's 6 to 9 months in terms of the business on square footage and not dollars. Is that the way to think about it for your business? 
John Williamson: It's the right way to think about it. It's different for different piece of our business, but that number has proven out to be pretty accurate for the business in total. 
Richard Kwas: Okay. And then there's some areas in nonres at least for the last few months that have trended up on the start side year-over-year. So can you give us idea? You talked about ag and data centers being headwinds. What percentage of your business is tied to that? And then when you look at some of the optimism that maybe you feel that for the next 8 quarters, what's going to drive that? 
John Williamson: Yes. I think the -- as part of the percentage of the business for ag, it's not a meaningless, but not a very big percentage of Electrical Raceway. It's also through distribution. And so if someone was upgrading electrical on a dairy farm or a cattle farm, we're going to get our piece of that. So that's a smaller impact to our business. For conversation, single digit-type impact on our business. The stuff that we've -- I think that's driving the optimism forward, right, not in our fourth quarter, but out past that, is that we're starting to see pretty good projections anyways on offices, on commercial. Again, health care is good that ebbs and flows, but it's still in the approaching mid-single digit growth rates. I think where we've seen it be a little bit disappointing, although we probably don't have as strong a correlation to, is going to be things such as transportation, wastewater facilities, things such as this, water infrastructure. I think stuff that we had expected to get a little bit of a boost from, I think we felt that there'd be more of an infrastructure spend going on there. And we think, by the way, at some point in time, the infrastructure in the U.S. needs to be updated and will be updated, and it drives a lot of Electrical Raceway and some of our mechanical products. So I think that's a little bit of the color there as we think of our business. 
Richard Kwas: What's the -- I mean, it doesn't seem like -- going back to last quarter, visibility seems pretty low, lower than maybe others that play in the same space. So as you look about into next year, I mean, I know previous -- one of the previous questions around '18, the volume comps are pretty favorable as you go into '18 on a year-over-year basis. I mean, how should we think about a big picture in terms of growth for next year around that give or take 3% that you're talking about that could drive some decent leverage? It certainly seems like comps for this year has been a negative on that front. '18 is going to be -- should be favorable for you on that front. So how do we think about that given the underlying market trends? And then second, how conservative is this as guide for the balance of the year? I mean, last quarter, the thought was that you had, clearly, had some more optimism in there. But where are you now in terms of rightsizing, particularly in relation to what you just said around negative 6% on nonres starts? And it looks like you put negative 2% in the presentation. 
John Williamson: Right. So a bunch of stuff right there, but I'll start with the last thing first. The negative 2% was the May projection that Dodge had for nonres construction for the whole year. Now that's -- I think you're going to find out that, that negative 2% really ends up being negative 6% or something in that ballpark. And that's Dodge numbers, that's not ours. To talk about 2018, it's slightly early. But as far as just volume, we think that at some time in calendar 2018, we think that our markets will respond to some leading indicators that are going on that we just talked about in nonres construction to be around, we think, about a 3%, that might be 2.5% to 3.5% growth rate. The question for our fiscal '18 is, how much of that coincides with our fiscal year? Our first quarter starts October 1, which is less than 2 months away. And I think we don't feel that October 1 is going to be reflecting a 3% growth rate year-over-year. But we think at some point in calendar 2018 it will and depending on how much of that overlaps with our fiscal year, we're going to see improving market activity. I think that's the market question. 
Richard Kwas: Okay. And then how about near term? Just around derisking the balance of the year. 
John Williamson: Yes. And as far as our fourth quarter projection and how conservative it is, we feel that's the -- from an EBITDA and EPS range and sales, we didn't give specific sales guidance, but how we're looking at. We think that's the right range. I think we would say at this point that there's no reason to doubt that range at all. Always, we're trying to be -- we much rather be on the high side than the low side of it. 
James Mallak: I think if you go back and take look at when we've given the current quarter's guidance, we've been in the upper range of that. So I think we're -- at this point, we're comfortable with the total year and the fourth quarter guidance that has been given. 
Operator: Our next question comes from the line of Steve Tusa with JPMorgan. 
Patrick Baumann: It's Pat Baumann, on for Steve Tusa. Just a question here on margins. I mean, I thought they're pretty impressive just given the volume shortfall. And I know you said earlier that there's been no share loss. Just wondering if you think that any kind of the margin is being helped by any selectivity on your part at all? Or any specific data you could point to that says you're holding market share? 
John Williamson: Yes. I think if you go back earlier in the year, first quarter, maybe a little bit of second quarter, we think and a lot of this is looking backwards, that we left a little share in a couple of our product lines by holding price. Now keep in mind, it's pretty important that big players in the markets are disciplined or the foundation could fall apart pretty quick in certain segments as everyone chased volume. So we believe we did lose some market share, but we don't believe in our third quarter we did. There's always a little bit of ebbing and flowing. If you take a really big order, maybe you take some market share for that month or that quarter. We look at it over historical, we look at it over standard deviations, if you will, and we feel we're holding share. So we think we're competitive. We're competitive on volume. So -- and we believe that and don't believe that the volume issue is a share issue. We believe it's a market issue. 
Patrick Baumann: And then just on the recent deals you did and the expectations, I think you said another 1 or 2 in 2017. Just curious like what you think this could add to 2018 EBITDA? 
John Williamson: Probably too early to say that just because we have numbers of them in process. So depending on which 2 come through, it could be meaningfully different. I'd say just to characterize them, they would be bigger than the last couple we did. 
James Mallak: And as we stated, the ones we got that we've got home already, they're going to add about $3 million of EBITDA for next year. 
Patrick Baumann: Got it. Okay. And then last one for me. Just back to the 2018 question. I mean, if you exclude the solar headwinds you guys call out in the guidance slide and the extra week this year, kind of EBITDA is up, I guess, 3% ex those items? Just trying to understand, is that a reasonable bogey for next year at this point? I ask -- and I know people have asked a bunch of different ways. But just in the context of the improvement you still see in the nonres markets and then -- but also just in light of the kind of the softer and flat fourth quarter guidance heading into next year. 
John Williamson: Yes. At some point in 2018, we think the markets will have that kind of a growth rate. The big question is if we don't participate for 1/3 of our fiscal year, that's going to have a big impact on that number. So I think it's a little early to forecast right now. 
Operator: Mr. Williamson, there are no further questions at this time. I'll turn the floor back to you for any final remarks. 
John Williamson: Great. I want to thank everybody who dialed in for your interest in Atkore and our third quarter and the go-forward. We feel really strongly about our business. We think it's appropriate to be realistic and to wait and see on volumes. We feel that the changes in our outlook reflect changes in the market and don't at all represent loss of confidence and direction with our business. We have a strong business, delivering strong cash, strong results, and most importantly, I think we keep doing the things that will add up to long-term shareholder value. So thanks to everybody. Thanks to our employees, and we look forward to updating you in a quarter. Melissa, that's the end of the call. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.